Operator: Good morning and welcome to the WNS Holdings Fiscal 2022 Fourth Quarter and Full Year Earnings Conference Call. At this time, all participants are in listen-only mode. After management's prepared remarks, we will conduct a question-and-answer session and instructions for how to ask a question will follow at that time. As a reminder, this call is being recorded for replay purposes. Now, I'd like to turn the call over to David Mackey, WNS' Executive Vice President of Finance and Head of Investor Relations. David?
David Mackey: Thank you. And welcome to our fiscal 2022 fourth-quarter and full-year earnings call. With me today on the call, I have WNS's CEO, Keshav Murugesh, WNS's CFO, Sanjay Puria, and our COO, Gautam Barai. A press release detailing our financial results was issued earlier today. This release is also available on the Investor Relations section of our website at www.wns.com. Today's remarks will focus on the results for the fiscal fourth quarter and full year ended March 31, 2022. Some of the matters that will be discussed on today's call are forward-looking. Please keep in mind that these forward-looking statements are subject to known and unknown risks and uncertainties that could cause actual results to differ materially from those expressed or implied by such statements. Such risks and uncertainties include, but are not limited to those factors set forth in the company's Form 20-F.  This document is also available on the company website. During this call, management will reference certain non-GAAP financial measures, which we believe provide useful information for investors. Reconciliations of these non-GAAP financial measures to GAAP results can be found in the press release issued earlier today. Some of the non-GAAP financial measures management will discuss are defined as follows: Net revenue is defined as revenue less repair payments. Adjusted operating margin is defined as operating margin excluding amortization of intangible assets, share-based compensation, and goodwill impairment. Adjusted net income or ANI is defined as profit excluding amortization of intangible assets, share-based compensation, goodwill impairment, and all associated taxes. These terms will be used throughout the call. I would now like to turn the call over to WNS's CEO, Keshav Murugesh. Keshav?
Keshav Murugesh: Thank you, David. And good morning, everyone. We are pleased with WNS's financial results in the fiscal fourth quarter and our overall performance in fiscal 2022. Net revenue for the fourth quarter came in at $275 million, representing a year-over-year increase of 20.4% on a reported basis and 21.9% constant currency. Sequentially, net revenue increased by $14 million or 5.3% on a reported basis, and 5.4% constant currency. In the fourth quarter, the company added 10 new logos and expanded 33 existing relationships.  WNS also delivered strong adjusted operating margins of 21.5% and grew adjusted EPS by 33% year-over-year. [Indiscernible] will provide further details on our fourth-quarter and full-year financial performance in his prepared remarks. While the company executed extremely well at delivered solid financial results this past year, fiscal 2022 was not without its challenges. During the year, WNS successfully navigated significant pandemic-related business volatility across our 12 global delivery locations, including the impacts of the delta and omicron surges.  The fluctuating infection rates resulted in shifts back and forth between work from office and work from home, and volume changes with several key clients, as well. In addition, increasing digital demand across industries combined with global labor shortages created resource supply pressure, which impacted our compensation costs, and attrition rates. Despite these obstacles, fiscal 2022 was a milestone year for WNS. The company accelerated full-year revenue beyond the $1 billion mark, delivering organic, constant currency growth of more than 16%. Our highest rate since becoming a public company in 2006.  In addition, we signed 36 new clients and expanded 108 existing relationships, which also represent record high levels. In support of top-line management, WNS added more than 8,000 net employees, pushing our global headcount passed the 52,000 FTE mark. Full-year revenue growth was broad-based across all segments of our business, including continued progress in servicing internet-based clients. In fiscal 2022, revenue from these digital disruptors grew 29% year-over-year, and now represent 19% of total company revenue. From a delivery perspective, WNS successfully managed the pandemic related volatility and resource supply constraints, serviced our clients, rapidly evolving BPM requirements, and maintained our industry leading margins at 21.4%.  We were able to achieve these margins while continuing to make the necessary strategic investments in areas such as domain expertise, technology enabled solutions, digital consulting and transformation, advanced analytics, cyber security, and the training and re - skilling of our global employee base. As a result of our efforts, adjusted EPS in fiscal 2022 grew more than 25% to $3.41. I'm also pleased with the progress the company continues to make on the ESD front. This past year, WNS was able to prioritize our employee’s safety and welfare during a global pandemic, enhance cyber security protocols for both in office and at home delivery models take steps to reduce our carbon emissions, improve our diversity and inclusiveness metrics as reflected in the 2022 Bloomberg Gender-Equality Index, and expand our corporate social responsibility efforts through the WNS Cares Foundation, including support for displaced families in Ukraine.  Additionally, WNS has kicked off efforts towards adoption of the science-based targets in the United Nations Global Compact initiatives and is actively evaluating additional ESD standards and frameworks, which are most relevant to our business. We also plan to release our second annual corporate sustainability report in May. While we're happy with our fiscal 2022 performance, we are equally excited about the opportunities for WNS in fiscal '23 and beyond, including a robust BPM demand environment, differentiated positioning in the market, and healthy business momentum. Today, we continue to see increased demand for BPM solutions, as clients look to leverage technology and automation to help transform their business models, as well as achieve their strategic goals.  The key objectives include optimizing efficiency and cost, leveraging data and analytics to enhance decision-making, improving the end customer experience, and generating new revenue streams. Increasingly, clients also recognize the need to partner with a firm like WNS, who can help them design, build, and run their business processes. The decision to partner is being driven by the clients' need for access of specialized talent, digital technologies, process expertise, domain, top leadership, and speed to market. With this favorable demand backdrop, WNS enters fiscal 2023 with a healthy pipeline and strong top-line momentum. Our deal pipeline, which is broad-based across verticals, services, and geographies, is the healthiest it has ever been. The pipeline continues to transition towards higher-end services and solutions, including digital consulting and transformation, advanced analytics, and domain - centric offerings.  We're also seeing more large end-to-end transformational opportunities in the pipeline and reduced sales cycles for the expansion of existing relationships. Part of the pipeline health is the result of an expanded farming opportunity, which is directly attributable to the acceleration of new logos signed over the past few years. Today, we have 147 clients of more than $1 million to farm, with 103 of these clients currently generating only $1 million to $5 million annually. These relationships provide us with a solid foundation for growth and excellent expansion opportunities and as we help these clients move forward with their strategic BPM initiatives.  In addition, we exit fiscal 2022 with existing or with improving revenue momentum, having accelerated our year-over-year constant currency revenue growth over the past three quarters. WNS also has the opportunity for continued recovery in our travel vertical, which has the potential to add 2% to our top-line growth rate as and when volumes return. All of this momentum comes with the added benefit of our recurring highly visible as well as resilient business model. That being said, as a company, we must remain vigilant with respect to pandemic related volatility and incremental challenges in labor supply. Wage inflation, as well as attrition. We also recognize the need to invest in our business, both organically and inorganically, based on the long-term opportunity in the BPM space.  The company has built a strong M&A pipeline. And we are working diligently to find the right assets, leverage our healthy balance sheet and accelerate our capabilities. I am confident that we have a focused, disciplined process in place for evaluating opportunities and we will continue to follow this approach, which has proven to be successful for us. In summary, we believe that the market for BPM services, driven by digitalization has never been better. And that WNS remains extremely well-positioned to capitalize on this opportunity. The company will continue to focus on driving best-in-class execution, investing to differentiate our capabilities, and fostering our corporate culture of innovation and co-creation. We believe these efforts will enable WNS to deliver long-term sustainable business value for our clients, shareholders, employees, as well as global communities. I would now like to turn the call over to our CFO, Sanjay Puria, to further discuss our results, as well as outlook. Over to you, Sanjay.
Sanjay Puria: Thank you, Keshav. In the fiscal fourth quarter, WNS net revenue came in at $275 million, up 20.4% from $228.3 million posted in the same quarter of last year and up 21.9% on a constant currency basis. Sequentially, net revenue increased by 5.3% on a reported basis and 5.4% on constant currency basis. Sequential revenue improvement was broad-based across most verticals, services, and geographies, and driven by new logos, the expansion of existing relationships, and increased travel volumes. In the fourth quarter, WNS recorder $1.7 million of short-term high-margin revenue. Adjusted operating margin in quarter 4 was 21.5% as compared to 20.8% reported in the same quarter of fiscal 2021 and 21.4% last quarter.  Year over year, adjusted operating margin increased as a result of operating leverage on higher volumes, improved productivity, high-margin short-term revenue, and currency movements net of [Indiscernible]. These benefits more than offset employee wage increases and higher facility related and travel costs. Sequentially, margins increased as a result of operating leverage on increased volumes, high margin short-term revenue, and currency movements net of hedging. This benefit was largely offset by higher G&A costs and additional facility related and travel expenses. The company's net other income expense was $0.9 million of net income in the fourth quarter as compared to $0.2 million of net expense reported in quarter four of fiscal 2021 and negligible net income on loss last quarter.  Year-over-year, the favorable variance is attributable to increased interest income on higher cash balances and lower interest expense relating to operating leases and debt repayment. Sequentially, the favorable variance is the result of $0.6 million of interest income on a tax refund and increased interest income driven by higher cash balances. WNS, effective tax rate for quarter four came in at 19.7% down from greater 0.6% last year, and down from 20.6% last quarter, both year-over-year and sequentially, the changes in our effective tax rate are the result of changes in our geographical profit mix. And in the mix of work delivered from tax incentive facilities. The company's adjusted net income for quarter 4 was $48.3 million, compared with $36.7 million in the same quarter of fiscal 2021 and $44.4 million last quarter. Adjusted diluted earnings were $0.95 per share in quarter 4, with $0.71 in the fourth quarter of last year, and $0.88 last quarter.  This represents 33% growth year-over-year, and 8% growth, sequentially. As of March 31, 2022, WNS balances in cash and investments total $413 million and the company have no debt. WNS generated $67.9 million of cash from operating activities this quarter, incurred $7.4 million in capital expenditures. And made scheduled debt payment of $8.4 million, DSO in the fourth quarter came in at 30 days, the same as reported in both quarter four of last year and the previous quarter. With respect to other key operating metrics, total headcount at the end of the quarter was $52,081 and our attrition rate in the fourth quarter increased to 44%, up from 30% reported in quarter four of last year and up from 36% in the previous quarter.  The fourth quarter spike in attrition was concentrated at the junior most levels of our organization and primarily focused on [Indiscernible] services. The increase was driven by hyperinflation in Sri Lanka and the requirement by the Philippine Economic Zone Authority, that employees return to office. We do not believe that this elevated attrition level is impacting or will impact our ability to service clients or accelerate growth. Built seat capacity at the end of the fourth quarter was stable, coming in at 34,494 seats. The seat utilization metric, which the company typically provides as a measure of infrastructure productivity, are not meaningful given the company operated at 39% work from home globally in quarter four. I would now like to provide you with a brief financial summary of fiscal 2022 before discussing our outlook for the coming year. Net revenue in fiscal 2022 came in at $1.27 billion up 18.2% on a reported basis, and up 16.4% on an organic constant currency basis. Full-year revenue growth was broad-based across geography, services and verticals and driven by strength in both new logo additions and existing client expansions. In addition, WNS, top-line was bolstered by a partial recovery of pre -pandemic travel volumes. And currency movements net of hedging. The company fiscal 2022 adjusted operating margin came in at 21.4% down slightly from 21.5% reported in fiscal 2021. Margin favorability from operating leverage on higher volumes improved [Indiscernible] and currency movements net of hedging were offset by wage increases, that renewal [Indiscernible] period cooperate [Indiscernible] policy, higher infrastructure related and travel expenses associated with easing pandemic restrictions, and a reduction in full-year high margin short-term revenues.  In fiscal 2022, net other income expense improved by $2.8 million as a result of non-recurring interest income on tax refund. Increased interest income on higher cash balances, and lower interest expense on debt and operating leases. Our effective tax rate for the year was 20.7%, down from 23.3% last year, as a result of the mix of profits by geography and a one-time tax benefit in quarter one of $0.8 million. The combination of solid revenue growth, margin stability, higher interest income, a lower effective tax rate, and a reduced share count resulted in our full-year adjusted diluted earnings per share, improving 25.4% coming in at $3.41. In fiscal 2022, the company generated $187.5 million in cash from operations and $159.1 million in free cash. During the year, WNS repurchased 1.1 million shares of stock at a cost of $85 million or $77.31 per share, spent $28.3 million on capital expenditures, and made scheduled debt payments of $16.8 million.  We ended the year with a net cash balance of $413 million or approximately $8.06 per diluted share and no debt. The press release issued earlier today, WNS provided our initial full-year guidance for fiscal 2023. Based on the company's current visibility levels, we expect net revenue to be in the range of $1.98 billion to $1.154 billion representing year-over-year growth of 7% to 12% on a reported visit, and 8% to 14% on a constant currency basis. At the midpoint, costed currency revenue growth is 11%, which represents initial guidance of our historical level off 10%. Revenue guidance assumes an average British pound to U.S. dollar exchange rate of $1.32 for fiscal 2023. Consistent with our guidance approach in previous years, we currently have 90% visibility to the midpoint of the range, which does not include any uncommitted shock of revenue, or improvement in travel volumes beyond quarter four levels.  Fiscal 2023 guidance has [Indiscernible] our top line headwind of approximately 10%, which factors in year-over-year productivity commitment, non-project ramp down, and drive year short-term revenues. Full-year adjusted net income for fiscal 2023 is expected to be in the range of a $177 million dollars, $289 million dollars based on a 76 Rupee to U.S. dollar exchange rate. This implies adjusted EPS of $3.50 to $3.73, assuming a diluted share count of approximately $50.6 million shares. With respect to capital expenditures, WNS currently expect our requirement for fiscal 2023 to be up to $40 million. We'll now open the call for questions. Operator?
Operator: [Operator Instructions] In the interest of time and to enable everyone on the call to participate, please limit your queries to one question and one follow-up. Our first question comes from the line of Bryan Bergin with Cowen. Your line is open.
Bryan Bergin: Hi, guys. Thank you. I wanted to ask a question with the annual productivity commitments, Sanjay, I think I just heard you say 10% headwind -- a number around 10%, but I think that included more than just the productivity commitments, can you break that down for us as far as the level you're assuming there in '23 versus last year? And I know you had proactively addressed a number of larger clients last year, curious if you're doing that again this year for any others?
Sanjay Puria: [Indiscernible] yes, you're right. He does yield more than just the productivity. I'm just from overall prospective the 10%, it's had productivity of 3% ramp down of 6%, including some of the proactive [Indiscernible] in what we have spoken about, like in the South Africa, one of the lines are we didn't mention as well as the short-term revenue where we don't ever visibility of 1%. And I would just say that the new normal from ramp off from a number perspective, it's already a 5% to 6% has moved to 7% to 8% due to digital interventions, approximately versus the required from the client. But it also helps to extend our relationship and grew drive mostly good relation -- relationship from then and opportunity.
Bryan Bergin: Okay. All right. Thanks for breaking that down. And then just on the operating margin, the supply here to be down at the midpoint year-on-year, can you just talk about the factors driving that margin trajectory as far as inflation assumptions, return to office assumptions? And also, just how to think about how that margin trajectory unfolds as we go through this fiscal year. Thank you.
Sanjay Puria: Compared to this year, our -- what we have assumed the operating margin in our guidance at this stage is at 21% for that. And it's -- there are a couple of factors which is driving that higher wages because we have seen some of the high accretion due to -- in my prepared remarks, I did mention about the Philippines and the Sri Lanka, which is at the lowest levels. Return to office, right now we have assumed at 60% by the end of the year, as well as some of the travel coming back including continue our investment in the digital journey as well as from a sales perspective. But a lot of these things have been really going through our productivity, digital intervention and the growth, what we'll be having and what we'll be driving from a next year perspective. So, one of the other factors is that we have not -- as we don't have visibility, we have not factored the short-term revenue, what was there during this year with the high margin, in this year except that contributed almost 30 basis points ad some of those things are not factored. So right now, year-over-year comparison it looks to you it's just a few basis points down, but as we move forward, have a better visibility, there are opportunities to expand some of those.
David Mackey: I think just to add to what Sanjay said and reinforce that message, obviously, when we give our top-line guidance, I think everyone's aware that we don't include the short-term revenues and that we've averaged somewhere between 1% and 2% every year coming from that. But there's also a margin impact that goes with that because what we've seen is that Mark, that revenue tends to be extremely high margin because it's gained share or its outcome-based. And as a result of that, we don't include that revenue in the full-year guidance, we don't include the high-margin that's associated with it. So, Sanjay's point, we had $7 million of short-term revenue in Fiscal '22, this contributed about 30 basis points to the overall adjusted operating margin that we posted, which was 21.4. So, it really at the end of the kind of explains that the big difference between our guidance on the margin line and the Fiscal '22 numbers that we posted.  The other thing I want to mention and Gautam can kind of chime in here as a little bit as well. We do have some pretty sizable investments that are baked into Fiscal '23, which are covered, including a step function in the sales force. We added nine new salespeople at the end of the fiscal fourth quarter, you didn't really see it affect the sales and marketing expense in the fourth quarter, but you will see that affect us in Fiscal '23. And I think what's really important is we're really kind of maintaining our margins, but we're also funding some of these investments that allow us to both accelerate growth and kind of manage the business going forward.
Sanjay Puria: Yes. Thanks, David. And just as David alluded, with the strong momentum that we see across the board with our existing clients and new clients, and the hunting cycles which have shortened, especially in the U.S., the investments across some hunting and farming across all regions, i.e., U.S., Europe and U.K., along with APAC, and also increasing our talent across digital, streams, transformation streams. Actually, helps us actually reap benefits quite early on.
Bryan Bergin: Okay, all right, thanks. Is it fair to assume that margins will build as we go through the year as you absorb these upfront?
David Mackey: Yes, absolutely Bryan, we're obviously set up, the way we look at our business for Q1 to be a sequential decline. We've got the impact of the productivity commitments that we give to clients as well as the lack of inclusion of short-term revenues in the first quarter, we've got the impact of our wage increases, which are effective April first, we've got this headcount that's coming on, so yes, we're looking at a pretty severe drop in margins and flattish revenues in the first quarter, which is not terribly uncommon for us. Wouldn't be surprised to see revenue effectively flat quarter-over-quarter, and the margins down in the 250 to 300 basis point range. But you are correct. As we move throughout the year, we should build both the acceleration of the top-line growth and the margin to where we finished with, obviously, as we just kind of noted, at this point 11% constant currency at the midpoint without any short-term revenue and 21% margins.
Bryan Bergin: Thank you.
Operator: Our next question comes from Mayank Tandon with Needham, your line is open.
Unidentified Analyst: Hi, this is actually stands [Indiscernible] today. Thanks for taking the question, and congrats on the results. I'm only [Indiscernible] touch first on attrition, just I'm a little eager here. Could you talk a little bit more about the dynamics on this [Indiscernible] I can attrition? And then last quarter, you guys mentioned expectations for attrition to stabilize around the 35% level over the next two quarters. Is this still the expectation for the upcoming year? And if so, you know what the strategy behind hitting that number?
Gautam Barai: Thanks. This is Gautam over here. Look, we continued to experience elevated levels of attrition. But what is a significant -- what a significant to add over there is the attrition is actually centered around the lower levels of our wrapped up. And the number of -- number of interventions we have made in the course of last year has actually stabilized. In fact, reduced the attrition across some of our mid to senior level stuff. And along some of our new skill, also with our unique train and hire, train and deploy models that we have about our ability to recruit is quite good. We do not see and give not actually seen any issues in terms of delivering to the estimate standards that we have to maintain for our clients.
Sanjay Puria: Just to add what Gautam said, absolutely all the intervention what we made, has really worked because other than the lowest levered and primarily on the white site, we have seen the attrition has come down, whether it's on the data or on the new skills, on the digital and technology. So, this wasn't just a southern sort of price from attrition, higher attrition perspective primarily driven by two factors which I did mention in my prepared remarks. One was on the Philippines, where the exemption of regulations to walk from home has been drawn and that there's a reaction to that from an employee perspective as well as on a geopolitical issue in Sri Lanka, where there's has been super hyperinflation. So there has been some reaction towards that. And we believe that as soon as this all will settle down and back to the normalization, this attrition percentage should come back down.
David Mackey: Just to add a little bit, because it is an important issue and obviously with the elevated attrition numbers this quarter, it's something that everybody wants to and needs to understand. Both Sanjay and Gautam have talked about some of the factors that growth this and obviously it was a surprise to us as well. I don't think it was something that was known to anybody in the industry so this is going to be a common thread, a common theme across anyone who is doing work in geographies like Philippines and Sri Lanka, but I think what's really important is we look at how attrition will normalize over time, which we believe it will.  It's important to understand that when you look at our business model, the objectives of WNS as a company, the objectives of our clients in terms of where they want work to be performed from, the objectives of our employees and kind of where they want to work from. And also, what's going on with the respective local regulators, may not be aligned in the short-term. So, there's going to be some volatility in those attrition numbers and as people kind of settle into what the new normal is going to look like longer-term. And honestly, at this point, I don't know that anybody knows that, but as long as we are, as an organization, to Gautam's point, able to maintain the attrition at the lower levels of the organization, as long as it's not affecting our middle to upper tiers, we're very comfortable in our business -- in our ability to run our business.
Unidentified Analyst: Got it. That makes sense. That's really helpful. Thanks for that. And then just on the travel vertical, that area saw some nice growth this quarter and seems to be trending nicely coming out of the pandemic. Could you guys talk a little bit more about what you're seeing here, what the expectations are for the upcoming year, and how the demand environment looks versus pre -pandemic levels?
Gautam Barai: Yes. So, from a travel vertical perspective, what we're seeing is the volumes are almost back to the pre - COVID levels in terms of our processing and the agents that we have across the board. This is due to two factors. One is the domestic travel which has almost come back to the normal levels pre - COVID. The second is the new processes and the new work that we have gained across the last two years that has increased our volumes. What this does not take into account is potential increase as business travel continues to increase along with the residual increase in terms of leisure travel and that should definitely see our volumes start to pick up a lot more.
Keshav Murugesh: And maybe I'll just add to both of you. When you mentioned from our pre -pandemic level, it's all entered travel vertical. But when you look from our different segments perspective, we do expect and we believe that there's still an opportunity of almost like 2% of the company's revenue as we move forward because of some of the international travel in some of the other sectors we adjusted impacted. Also, really important to note that I think Gautam kind of touched on a little bit, when you look at the healthy performance this year and when you look at the expectations at least today for the healthy performance in fiscal '23, the key driver for that, while we have had some recovery of pre -pandemic volumes.  The key driver for that growth has been the addition of new logos and the expansion of the number of processes that we manage for our existing clients. So that's our normal path for growth as a company, we typically don't grow our business by adding volume. We grow by adding new clients and we grow by adding a number of processes that we manage. Anything that we pick up in terms of volumes through those processes as a bonus because honestly, we don't have a ton of control over it. But the reality is what's driving the health and this vertical is the standard approach to our business. The fact that the travel vertical needs are ELP to digitize their business, to move their business forward.
Unidentified Analyst: That's super helpful. Thank you for taking the questions.
Keshav Murugesh: Thank you.
Operator: Our next question comes from Maggie Nolan with William Blair. Your line is open.
Maggie Nolan: Thank you, a nice quarter. I wanted to follow up on some of the conversation around attrition. You projected some confidence in your hiring ability to offset some of this could you elaborate a little bit on what you're doing? It's differentiated on the hiring side and how that can help stabilize what's going on with attrition?
Gautam Barai: Yeah. Yes, Maggie. This is Gautam. So, from what we have is due to our deep verticalized structure, what we have, each of our verticals have strong learning and training academies. And what we do is through our campus recruitment programs, through our lateral hire’s programs, we're able to attract a lot of talent and then train them over a period of 6 to 12 weeks in terms of requisite processes. What it does, it gives us a healthy pipeline of domain center specialists that can manage the processes for our clients. And also, right point which is lower than the industry norms.
David Mackey: Yeah. I would also add to Gautam's comment, Maggie, that when you look at kind of the proof, if you will, obviously as an organization, we're not happy with having a 43% attrition rate in the quarter. But despite having a 43% attrition rate, we added 2500 employees on a net basis during the quarter. Despite having a 36% attrition rate for the year, we added more than 8000 people. So, the engine is fully capable of doing that. And to Gautam's point, when you really look at -- as long as you're not losing the seasoned people, the people that are driving digital, the people that are driving advanced analytics, the one with domain knowledge, right? The entry-level to our business, there is still more than enough supply to meet demand, actually there's excess supply. So, we're still able to interview multiple people for every role that we hire. It's as you move up that chain that you run into the real challenges with finding the kinds of talents you need to support your clients.
Maggie Nolan: Okay, thank you. And then David, you had mentioned how important those client additions are to the long-term growth that you had really strong client additions this quarter and this year. How many of those are including things like analytics and automation from the onset and how does that compare to what you were seeing last year?
David Mackey: I think overall when you look at the profile, and Gautam chimed in here with some additional color, but it's very clear that digitization is a part of every new logo that we're adding, period. Some have more analytics involved on the front end than others depending on the type of work that we're doing, but I would say even for the stuff that's industry specific or it's F&A driven, there's a component to analytics to everything that we're doing. It's not sold as a separate analytics deal, but there is clearly analytics that are embedded in those processes as well.
Sanjay Puria: Yeah. Just to add to what Dave said, almost all our deals have a sizable portion of embedded analytics that we actually drive, which is a part of our digital analytics strategy which outlines expect or a year-on-year basis. And this is the nature of the way the deals are structured at the moment where clients want to see increased transformation benefits that is passed through, which is only -- which can only be provided through an infusion of tech, digital, and analytics.
David Mackey: Yeah. And it's not just the new logos that we're seeing this either, Maggie. We talked last year about having a 2% headwind walking into the year because of the new logo -- of the existing logos that we renewed early. What we're also clearly seeing is that as our contracts come up or as we have ongoing discussions with our clients, they're looking to accelerate those productivity improvements through automation and technology across the board, which is why we see another 1% or so headwind to our business on a year-over-year basis. It's now structural. It's because digitization is involved in every discussion that we have.
Maggie Nolan: Understood than you.
David Mackey: Thank you.
Operator: Our next question comes from Puneet Jain with J.P. Morgan. Your line is open.
Puneet Jain: Yeah hi, thanks for taking my question. Obviously, in Fiscal '22, growth was really strong in travel and [Indiscernible] verticals. Can you also review performance of insurance and healthcare clients in fourth quarter, as well as talk about the outlook for those two verticals?
Gautam Barai: Yeah. Again, both in insurance and healthcare, we continue to see strong momentum across a broad set of clients. In fact, what is interesting is the number of large deals that we continue to come across in both these verticals continued to increase, of course the closure time for these is a bit longer than the short-term, the smaller deals. But again, I think it's quite a healthy pipeline that we've seen both these verticals and we're excited about the prospects over the next 12 months with these two.
Sanjay Puria: And maybe Puneet, just to add it actually had just referring from their quarter perspective and seeing the growth not in proportion to some of the other verticals, we did mention there last year and we did renew one of the couples of the large clients from the insurance and the productivity commitment in the digital intervention. What we have to do. We are in debt process, but as I said that this is making the vision to more stickier as well as the much better expansion opportunity as we move forward. And accordingly, Gautam [Indiscernible] alluded is as we move forward, we are going to see more and more traction around.
Gautam Barai: And just to add, we're also starting to see an uptick in volumes coming through as travel restrictions -- the road restrictions on travel, and the COVID-related restrictions are starting to reduce. So, the claims volume has started to increase across different geographies. The discretionary spend across electives surgeries and treatment in the U.S. has started to increase. So as these volumes start increasing, we definitely see an increase in sales of our processing capabilities across both these.
David Mackey: And I think at the end of the day, we talked about the broad-based health of the pipeline. I think when you take out some of this one timer, if you will, and you look at the growth across these verticals segments, there's nothing that we had last year, with the exception of the manufacturing retail vertical, which had the large South African clients, there isn't a single vertical that we had in fiscal '22 that did not grow double-digits. This is as broad based as you're going to get. And I think, obviously, our comfort and confidence about what fiscal '23 looks like from a growth perspective is pretty healthy because I personally can't remember us ever starting the year at 11%.
Keshav Murugesh: Yes, putting this case of -- I think lots has been said about the revenue momentum and I just want to add a little bit in terms of the excitement I personally have about how broad-based this momentum is. We're actually seeing -- while you focus your questions on two specific verticals and we spoke about two others. The reality is, we are actually seeing not just deals in the digital transformation area, deals in analytics, deals in traditional verticals and what not. We're actually seeing that based on the way we operated during the pandemic and we created certainty for clients across a broad spectrum, we're actually seeing a lot of prospects, clients who had not outsourced or actually embarked on this journey of automation, actually now climb this bandwagon.  So, what we are seeing, what my sales people are telling me is that every prospect that they're interacting with, even not the traditional names that we had serviced before or spoken to before, are now looking for predictable outcomes in unpredictable times and business variability. All of them want to leverage tech to build completely new business models for themselves. All of them are looking for partners like us to build resilient business models involving more pandemic continuity planning as opposed to the traditional BCP. Everyone wants control and compliance and want to ensure that they are working with a partner in these uncertain times who take care of the cyber's safety kind of outcomes. And finally, are helping them drive their business transformation and agenda involving, leveraging domain expertise and things like that.  And I think it has become so broad-based that we've actually said that at this point in time, we must get after this growth. We must leverage all the investments we have made to drive faster revenue, momentum. And even if it means therefore taking a minor hit in terms of operating margins because of some of the things that we spoke about in the past, we will not let go of the opportunity to grow momentum at this point in time. So very, very excited about this opportunity.
Puneet Jain: Thanks for the clarification. And then second on wage inflation. I know you talked about seeing hyperinflation in Sri Lanka, can you also talk about level of wage inflation you expect this year in India, in Philippines, and the U.S.?
Keshav Murugesh: So, as we all have heard and known that inflation is really high across all this geography. But from an overall, our business perspective, we will be expecting the inflation to be 10% for next year. Historically, it was always as an average of 8% this year it was 9% because some of the intervention, what we have to do around the new skill, as we spoke about and which in fact has starting to be providing the results. So, in our guidance right now, as an average 10% has been already big.
David Mackey: And then just to clarify, Puneet, the inflation issue that we were talking about in Sri Lanka, wasn't a wage inflation issue. It was an inflation issue that related to the overall standard of living within Sri Lanka. So, the bottom line is the currency has dramatically devalued, the inflation in that country has obviously gone out of control. And as a result, employees are struggling to make ends meet, given how expensive things have gotten in Sri Lanka. So, it wasn't the wage inflation for us that spiked, it's the countrywide inflation has spiked.
Puneet Jain: Understood. Thank you.
Operator: Our next question comes from Dave Koning with Baird. Your line is open.
Dave Koning: Hey guys. Thanks, and good job. So first of all, just on travel again, I know you did a great job explaining the kind of incremental wins and incremental processes you do. It, does that really explain like we look at it relative to calendar 19, you did a 128% of revenue of calendar 19s quarter in the prior quarters, only a 100. So, you had a huge acceleration and just kind of that relative performance. And in the travel market got a little bit better, but not dramatically in the quarter. So is that just fully explained by kind of the new wins and new processes and not really travel picking up kind of sequentially.
David Mackey: Absolutely.
Keshav Murugesh: Absolutely.
Dave Koning: Okay. Wow, that's those are incredible wins in just in growth, kind of organic growth, that's greater.
David Mackey: Remember, we talked a lot about how we were taking advantage of the pandemic to kind of reposition ourselves in the travel vertical, how to help clients move forward, how to create service offerings that allowed for things like vaccine cards and so on and so forth, because that all require digitization and automation. So, we have definitely been very aggressive in expanding the number of logos that we've added during this time period and also expanding the types of work in the quantity of work that we did with our existing customers, right? And some of the clients we're actually very, very happy with our efforts and how we were able to help them during the pandemic. And as a result, they gave us more work as part of that. So, we really took advantage of the pandemic to strengthen our relationships with these travel clients. And what you are seeing are the fruits of those efforts.
Gautam Barai: And also, just to add to what David is saying, what is interesting is the new volumes and the ramps that we're picking up along with the new clients are in the high-end digital services and digital voice operations into the internet-based operations that we drive, which actually leads to more stickier revenue ability to transfer more and better margin profile.
Keshav Murugesh: Yes. Dave, I'll just mention something here, this is Keshav. I have actually been having lots of excellent conversations with CEOs in the travel space on the other side, and it's interesting, while we've actually done a decent job from a WNS point of view in terms of grabbing market share, going after new logos and going after very relevant new age kind of businesses with all of these logos, the reality is all through the last 2.5 years or so, a number of players in the travel space actually reacted to COVID in different ways, some reacting a little more maturely, some reacted quite immaturely, if you ask me and lots of knee-jerk reaction as well.  So, what had also happened is that, in terms of knee-jerk reactions where they have to actually impact their capacities in the short term, now they're all scrambling to get partners like us to help them recoup. But more importantly, what has also happened is during this pandemic all of them have actually restructured their balance sheets, restructured their fleet, completely changed the way they want to go to the market. And that is where they're looking to an exciting partner like WNS, helping them in that journey. Travel is not yet fully back. It is still coming back and from our perspective, therefore, the opportunity around travel during this next year is going to be very, very exciting for us. And it'll be completely new areas, we believe, and very broad-based for WNS.
Dave Koning: Yes. It's also good companies take such changing environments and capitalize. You've done a great job. And then just a second quick follow-up tax rate. It seems like we back into around 23% if we take all that the data, you gave us, is that the ballpark?
David Mackey: 22% to 23%.
Dave Koning: Yes. Okay. Great. Thanks, guys.
Operator: Thank you. [Operator Instruction]. Our next question comes from --
David Mackey: Operator I think we're ready for next question.
Operator: Thank you. Manage. Ask a question at this time. Thank you. As a reminder --
David Mackey: Operator?
Operator: [Operator Instructions] Thank you. As a reminder to ask a question at this time, [Operator Instructions]. Our next question comes from Vincent Colicchio with Barrington Research, your line is open.
Vincent Colicchio: Good morning, guys. Keshav, to what extent are you benefiting in terms of seeing new client interest due to tight labor conditions and their inability to serve their access to market?
Operator: Please standby. Your conference call will resume momentarily.
David Mackey: Thank you. Vince, are you on the line?
Vincent Colicchio: Yes, I am.
David Mackey: Sorry, everyone. Not quite sure what happened. I can tell you for once in a long time, the entire team's together in New York taking this call. So this is not a global issue. Please go ahead. Sorry about that, everyone. Vince, please proceed.
Vincent Colicchio: Yeah. So Keshav, to what extent are you benefiting from new client interest given the tight labor conditions and their inability to access talent? Are you seeing a lot of new companies that are outsourcing for this reason?
Keshav Murugesh: Actually, maybe I think a few of them would be opting for solutions around that, but I think the bulk really getting after the core of our transformation message. The fact that we understand that business domains very well, the fact that they get comfort around the fact that we have invested so much in technology. The fact that obviously we are able to leverage analytics to the hilt. And we have so much of experience across the entire industry, delivering digital transformation for them.  So, I think what is actually happening Vinc at this point in time is a lot of clients who were earlier trying to do some of these things themselves have now realized that they do not want to get caught in terms of any potential uncertainty in the future, and they would rather go with a trusted partner who is capable of making all these investments at the back-end, and who has a real solid track record in terms of delivery. And I think that's what they're looking for here. A partner who can deliver certainty. A partner that is investing in all of these new exciting areas, and a partner to some extent that will lead them out of the darkness.
Vincent Colicchio: And you had mentioned in your prepared remarks, tuck-in M&A. Could you review for us maybe at the top of your list currently, in terms of focus?
Keshav Murugesh: Sure. So our focus really is around any core capability that will -- which is accretive, but will also enhance some of our core verticals or horizontal capability, right? So from our perspective, there is this choice of build versus buy in terms of digital finance and accounting analytics. And also potentially anything transformational that we will want to look at in terms of some of our larger key core businesses, as well. So it's a very interesting stage at this point in time where we have a very solid pipeline that we're looking at. Some of them will be smaller sized kind of assets, but add huge capability to WNS. Some of them could be significantly larger.
David Mackey: I think at the end of the day, Vince, it becomes kind of the same 3 key areas that we're looking for, digital and digital transformation, advanced analytics and anything from an industry specific perspective that helps us deepen our capabilities and differentiate our service offerings within that vertical.
Vincent Colicchio: Thanks for answering my questions.
David Mackey: Thanks, Vince.
Operator: Thank you. Our next question comes from Ashwin Shirvaikar with Citi, your line is open.
Ashwin Shirvaikar: Thank you. Good morning, folks. And good to hear from all of you.
Keshav Murugesh: Hi Ashwin.
Ashwin Shirvaikar: Hey. So my questions on sales productivity. Could you remind us what's typical given that you are making a number of these incremental sales investments, what do you normally expect in terms of when sales people become productive and also could you reminded, where you stand in that process of making these investments.
David Mackey: Sure. So Ashwin, I think when you look at the sales productivity side of it, the expectations, for example, around a 100 Thing are dramatically different than the expectations around farming. Clearly, if we're going to put a seasoned salesperson into an account with a goal of expanding that relationship. The expectations are that those folks will generate revenue in further fairly short order. When you start looking at hunting. However, given for example, for larger deals, RFP cycles and things that can last anywhere between six months and 18 months depending on the size and scope.  The expectations are much lower, so it's mixed some of this should be able to deliver benefits in Fiscal '23 more around the farming side versus the hunting side, which will really be able to generate more benefits Fiscal '24 and beyond, which -- which has to be housing. When you look at it, we've gotten roughly, I believe 18 months since the last step function that we've taken in sales so somewhere between 12 and 18 months to a step function. When you look at the hiring that we did in the fourth quarter, we added nine people. We finished last Fiscal '21 with a 112 salespeople. We finished Fiscal '22 with a 121. Those ads were all relatively late in the quarter, so there was virtually no contribution in Fiscal '23 revenue from those sales to add, these should be 23, 24, 25 productivity. And again, the sooner we make the next step function, obviously the sooner we're confident in the productivity of the existing team and our ability to accelerate beyond.
Ashwin Shirvaikar: And listening to that background, you definitely are in New York City. My next question. I know a lot has been asked on this call about wage inflation. But could you talk specifically wage inflation versus pricing because that's a very frequent question we get from investors, is what percent of contract, how once the year [Indiscernible] pricing, what might have other contractual conditions that enable you to price more seamlessly. Could you characterize how investors should think about that timing issue?
Sanjay Puria: Yeah. And also promote [Indiscernible] majority of our [Indiscernible] definitely do have a cooler built in. Though it is a gap and it is linked to the inflation from a client geography perspective. Also as and when we are going from a new deals perspective, all this very efficient, are factored as part of the growth, but they know what the client really looks forward is more from their total cost of ownership. And that is what we are able to really offset some of this inflation cost through our digital intervention or our technology and automation. What we drive and provide as a solution to our client. What Gautam and Keshav was alluding that every deal is all about the transformation as well as the digital intervention [Indiscernible], including the embedded analytics here.
David Mackey: The short answer is, Ashwin, it helps us, it covers a part of it. But between the fact that it's pegged to indices that are not necessarily aligned to wages and it's pegged to geographies that are not necessarily aligned to where we deliver from, it's never going to cover the full impact of wages. There's no way we're passing on our wage increases to our clients. We're able to pass on a portion. It's capped, but it's really the productivity, the efficiency, the digitization that enables us to maintain margins and to offset the impact of wage increases.
Gautam Barai: And also, just to add to what Dave mentioned, as we continue to add more end-to-end processes along with digital and tech interventions across new deals, we're actually able to attract premium pricing, which also offset some of the pressures that we have.
Ashwin Shirvaikar: Got it. Thank you for putting all those details together. Congratulations.
Sanjay Puria: Thanks.
Keshav Murugesh: Thank you, Ashwin.
Operator: Thank you. At this time, we have no further questions in the queue. This concludes today's conference call. Thank you for your participation. You may now disconnect.